Operator: Good day and welcome to the Era Group Reports Q1 2020 Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Tomas Johnston, Assistant General Counsel. Please go ahead, sir.
Tomas Johnston: Thank you, Cody, and good morning, everyone. Welcome to Era's first quarter 2020 earnings call. I'm here today with our President and CEO, Chris Bradshaw; SVP and CFO, Jennifer Whalen; and SVP and General Counsel, Crystal Gordon. Let me remind everyone that during the call, management may make forward-looking statements that are subject to risks and uncertainties that are described in more detail on Slide 3 of our investor presentation. You may access our investor presentation on our website, erahelicopters.com. Further, Era has filed with the SEC a registration statement on Form S-4 that includes a joint proxy statement of Era and Bristow and the prospectus of Era. Investors are urged to read this carefully, as it contains important information about the proposed transaction. You may obtain a copy when it becomes available without charge at the SEC's website, by calling Era or by going to our website. Era, Bristow and certain of their respective directors and executive officers may be deemed to be participants in the solicitation of proxies from Era and Bristow stockholders in respect of the proposed transaction under the rules of the SEC. You may obtain information regarding the names, affiliations and interests of Era's directors and executive officers in Era's Annual Report on Form 10-K. I'll now turn the call over to our President and CEO. Chris?
Chris Bradshaw: Thank you, Tomas, and welcome to the call, everyone. I will begin our prepared remarks with a note on safety, which is Era's most important core value and our highest operational priority. We are pleased to report that Era achieved our dual goals of zero air accidents and zero recordable workplace incidents year-to-date 2020. I want to thank and commend all of our Era team members for their contributions to our safety performance. We have not experienced an air accident in the last four years, and we have now gone over 950 consecutive days without a recordable workplace incident. This is world-class safety performance in any environment, and it is even more exemplary given the numerous potential distractions present in the world and our industry today. As always, we remain committed to placing safety first every day. When we last spoke to this audience on March 6, we briefed you on the enhanced procedures that we were implementing to protect our employees and customers and to help limit the spread of COVID-19. I believe our team has done an excellent job preparing early and successfully managing through change and uncertainty over the last 2 months. Our Q1 financial results were not materially impacted by the COVID-19 outbreak and the dislocation in the oil markets. But we have seen an adverse impact beginning in Q2. With the severe demand shock and substantial excess supply, we expect challenging conditions in the oil and gas industry to persist for the foreseeable future. Visibility remains very limited, and we cannot predict the timing or shape of the eventual industry recovery. Fortunately, with our strong balance sheet, efficient cost structure and experience managing through industry downturns, we are well prepared to navigate through these difficult conditions. I will now turn it over to our CFO for a review of Q1 financial results. Jennifer?
Jennifer Whalen: Thank you, Chris. EBITDA adjusted to exclude special items was $8.3 million for the first quarter of 2020 compared to $13.7 million in the fourth quarter of 2019. This decrease was primarily due to lower revenues and noncash foreign currency losses of $1.7 million. Excluding the impact of these noncash foreign currency losses, adjusted EBITDA would have been $10 million in the current quarter. Revenues decreased $3.3 million, primarily due to the end of emergency response and dry leasing contracts as well as lower revenues from oil and gas services. Operating expenses were $1 million lower due to decreased personnel, maintenance and fuel costs. General and administrative expenses were $1.4 million higher due to increased professional service fees and other costs related to the expected merger with Bristow. The costs related to the expected merger have been treated as a special item. Please refer to the earnings release for a more detailed description of the special items and the reconciliation of non-GAAP metrics section. Moving on to the first quarter 2020 compared to the first quarter 2019 results. Adjusted EBITDA was $2.7 million higher. Current year quarter revenues were $5.8 million higher due to higher utilization in oil and gas services and the commencement of new emergency response contracts. Operating expenses were $1.8 million higher, primarily due to increased personnel and other expenses related to increased activity in the current year quarter. General and administrative expenses were $3.9 million higher in the current year quarter due to increased professional service fees and other costs related to the expected merger with Bristow. Finally, the first quarter is typically Era's weakest quarter for cash flow generation. And even with the industry headwinds, merger-related costs and an adverse working capital impact of $5 million, breakeven adjusted free cash flow was achieved. As of Q1 2020, Era's total liquidity was approximately $238 million, including $114 million of cash on hand. At this time, I'll turn the call back to Chris for further remarks. Chris?
Chris Bradshaw: Thank you, Jennifer. The current industry challenges further strengthen the rationale for our expected merger with Bristow. The combined company will be larger and more diversified, particularly with U.K. SAR revenues that are not tied to the oil markets. The expected cost savings of at least $35 million not only creates substantial value for shareholders but also position the combined company to better deal with the difficult challenges, as the oil and gas industry is likely to experience for some time to come. We are pleased to announce that the transaction process is ahead of schedule with integration planning well underway, and we now expect to close the merger by mid-June. With that, let's open the line for questions. Cody?
Operator: [Operator Instructions] And at this time, we'll go ahead and turn the conference back over to management for additional closing remarks.
 :
 :
Chris Bradshaw: Okay. Thank you, Cody. I appreciate it. I appreciate the time, everyone. As this may likely be our last call as a stand-alone Era Group, I want to thank all of you for the opportunity to speak with you on a quarterly basis over the last several years. It's been an honor and a pleasure, and we look forward to the combination with Bristow and look forward to communicating more about that, the merits of the transaction and the investment rationale for the combined company as we close that merger expected mid next month. Thank you and stay safe.
Operator: Thank you. That does conclude today's conference. Thank you all for your participation. You may now disconnect.